Operator: Greetings and welcome to the Hillenbrand Q2 Fiscal Year 2025 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Trent Schwartz, Executive Director, Investor Relations. Trent, please go ahead.
Trent Schwartz: Thank you, operator, and good morning, everyone. Welcome to Hillenbrand's conference call, where we will be discussing our fiscal second quarter performance. It's a pleasure to be joining you all on today's call as my first quarter as Head of Investor Relations here at Hillenbrand. With me today is our President and CEO, Kim Ryan; and our Senior Vice President and CFO, Bob VanHimbergen. I'd like to direct your attention to the supplemental slides posted on our IR website that will be referenced on today's call. Please note that our comments may contain certain forward-looking statements that are subject to the Safe Harbor provisions of the securities laws. These statements are not guarantees of future performance and our actual results could differ materially. Also, during the course of this call, we will be discussing certain non-GAAP operating performance measures. I encourage you to review the presentation as well as our 10-Q, which can be found on our website, for a deeper discussion of non-GAAP information, forward-looking statements and the risk factors that could impact our actual results. Finally, the results we'll be discussing today for the fiscal second quarter still include the full performance of the Milacron injection molding and extrusion business in both our consolidated results and in the Molding Technology Solutions or MTS segment results. With that I'll now turn the call over to Kim.
Kimberly Ryan: Thanks, Trent, and good morning, everyone. Thank you for joining today's call. Before discussing our results, I would first like to provide an update on our portfolio following the completion of the divestiture of approximately 51% interest in the Milacron injection molding and extrusion business on March 31st, 2025. As a reminder, this is one of several companies acquired as part of the November 2019 transaction. The MTS segment, going forward, is now composed of the Mold-Masters and DME brands, which round out the remaining assets from that deal. Over the past three years, we have transformed who Hillenbrand is, our portfolio, our purpose and our operating model. The completion of this divestiture now allows Hillenbrand to focus on our core strength of highly engineered value-added processing technologies and systems, serving a diverse set of less cyclical global end markets. Our businesses are focused on performance materials, including plastics and also food, health and nutrition end markets that are underpinned by long-term secular growth trends. Our brands are industry leaders in the applications and geographies they serve. And while plastics and food may sound distinctly different, they share a common backbone of key processing steps and highly engineered equipment and a positive long-term demand outlook, supported by a growing global middle class and a drive for more sustainable solutions. This allows us to leverage our most valuable asset, our people. Our expertise in systems design, process technology, engineering and service as well as our strong global footprint is leveraged across all of our operating companies, brands and customers. I'm proud of our team's efforts in achieving this important strategic milestone and we're excited for the long-term growth that we can achieve by leveraging this portfolio of products and capabilities for future growth. I'd now like to give a brief overview of our fiscal second quarter and then provide color on the current macro environment as well as the actions we're taking to further strengthen the business. Bob will then give a more detailed review of our financials and updated outlook for the remainder of the year. Overall, demand in our second quarter continued to be heavily impacted by the ongoing global macroeconomic uncertainty, which escalated through the quarter, largely driven by tariffs. Despite this, our teams delivered revenue of $716 million and adjusted earnings per share of $0.60 per share, ahead of our expectations coming into the quarter, but as expected, down versus the prior year due to lower starting backlog position. Our teams continue to aggressively navigate this challenging environment with great discipline and collaboration across the enterprise. Now turning to the market dynamics impacting our business. As we entered the calendar year, we were cautiously optimistic that our strong project pipeline would begin converting to orders at a more normalized pace. Since then, however, we've seen tariffs expand and escalate significantly. We've seen business and consumer confidence and sentiment fall. And finally, uncertainty on where or when geopolitical and macroeconomic factors will ultimately settle. This unpredictable environment has resulted in delays in our customers' investment plans, with many taking a wait-and-see approach at this time. We expect this elevated uncertainty to persist over the near-term, and we've adjusted our outlook for what we know today, as Bob will cover a little later in the call. I'll now dive a little deeper into each segment specifically. Starting with our Advanced Process Solutions or APS segment. We saw year-over-year improvement in capital orders again this quarter for our food, health and nutrition, or FHN, products. We also experienced strong demand in our separation business. Aftermarket and APS continued to provide a stable and profitable base in the quarter as customers continue to steer investment towards parts, service and refurbishment. However, the increased tariffs and risk of further tariffs has resulted in customers pausing to reevaluate many larger investments that we expected to close in the year in other end markets. Quote pipelines continue to be strong across key end markets and geographies and we have not experienced cancellations. But the conversion of quotes to orders remains slow. We believe this slowness is macro-driven timing rather than a fundamental shift in the underlying market or our share position, which we're confident remains strong. We continue to be focused on executing cost-out initiatives, including cost controls, accelerated footprint consolidation in response to changing environment, but we are maintaining our focus on specific growth opportunities, particularly around our full solution capabilities in FHN and our service offering. Moving on to MTS. Given the Milacron transaction, my commentary will be focused on the hot runner and mold base businesses that make up MTS going forward. Orders in the quarter remained stable, with improving hot runner demand for consumer goods and packaging, especially in APAC and the Americas, offsetting ongoing broad market sluggishness in Europe. External market indices were showing growth sentiment through the end of the quarter, though that has reversed as tariffs escalated in early April, particularly in China. So far through April, investments have slowed as larger multinational customers that export out of China have paused to assess the impacts of tariffs and evaluate sourcing and production alternatives outside of China, such as India, where we believe we are already well positioned with local resources in all of our businesses. In addition to the impact tariffs are having on customer sentiment across our segments, there are also higher costs of doing business that must be addressed. Before I turn the call over to Bob, I'll touch on what direct impacts we are seeing and how our teams are responding. Our teams have been assessing the potential impacts from rapidly evolving tariff policies all over the world and proactively managing our global supply chain. I'm grateful for their tireless efforts in this challenging endeavor, providing Bob and me with daily updates on the status of our exposure and ongoing and evolving mitigation plans. As we've discussed previously, our supply chain strategy has evolved significantly since COVID, with our manufacturing and supply chain footprint now primarily serving in region, for region demand. This greatly reduces our direct exposure to tariffs, as we mentioned in the last earnings call. However, we do still have a portion of our domestic suppliers that are international due to their special capabilities, representing approximately 5% of our global cost of goods sold. Spend between China and the US specifically represents only about 1% of our global cost of goods sold. To help mitigate this impact, we have built a comprehensive multipronged strategy based on near, medium and long-term opportunities, including alternative sourcing, strategically shifting inventories and manufacturing capabilities, implementing surcharge pricing and adjusting contract terms to address higher cost and potential additional tariffs, should they go into effect. Given the unpredictable nature of the situation, we have included roughly $15 million in direct tariff costs in our updated outlook for the remainder of this year, based on assumptions of the current policies in place as of April 29th, 2025 and considering the degree to which we can offset the higher costs in the near-term. While we're disappointed in the constrained customer demand we are experiencing in this environment, we remain positive and well positioned with our regional approach and in our leading competitive positions to benefit when demand returns. We believe the long-term demand drivers of our end markets remain firmly intact. And I'm proud of our team's resiliency and agility in responding to the challenges of the day as we continue to be laser-focused on managing what's within our control and ensuring our portfolio of products and capabilities remains well positioned for long-term success in serving our valued customers. With that I'll turn the call over to Bob to discuss our financial performance and outlook.
Robert VanHimbergen: Thanks, Kim, and good morning, everyone. As a reminder, the Q2 results I'm discussing today still include the full performance of the Milacron injection molding and extrusion business. Turning to our consolidated performance on Slide 6. Revenue of $716 million was down 9% compared to the prior year, primarily due to reduced volume stemming from our lower starting backlog. But as Kim mentioned, this was slightly better than we expected coming into the quarter. Adjusted EBITDA of $99 million decreased 19% as productivity, synergies, footprint initiatives, favorable pricing and the impact of cost actions were more than offset by lower volume and cost inflation. We delivered consolidated adjusted EBITDA margin of 13.8%, a decrease of 180 basis points compared to the prior year, largely due to the impact of lower volume on operating leverage. We reported a GAAP net loss of $41 million, down from income of $6 million in the prior year due to a noncash loss on majority sale of Milacron. Adjusted earnings per share of $0.60 decreased 21% versus the prior year but exceeded our expectations as a result of favorable interest expense and other corporate items. Our adjusted effective tax rate in the quarter was 30.9%, which was 280 basis points higher than the prior year, due primarily to our geographic mix of income. However, we still expect our full year rate to be approximately 29%. Our cash flow from operations was approximately $1 million in the quarter, consistent with the prior year and reflects typical seasonality of our cash flow. Capital expenditures were $9 million in the quarter and we paid approximately $16 million to shareholders through our quarterly dividend. Now moving to segment performance. Starting with EPS on Slide 7. Revenue of $494 million decreased 12% compared to the prior year, driven by lower volumes due to lower starting backlog coming into the quarter. Adjusted EBITDA of $79 million decreased 22% year-over-year, primarily due to lower volume and cost inflation, partially offset by productivity, synergies and favorable pricing. We delivered adjusted EBITDA margin in the quarter of 16%, which was down 200 basis points over the prior year. Backlog of $1.6 billion decreased 15% compared to the prior year. This is largely stemming from increased macro uncertainty from tariffs, which led to weaker-than-expected orders in the quarter. Given the heightened level of volatility that remains in the market, our updated outlook does not assume these order patterns will improve in the second half of the fiscal year. Though as Kim said, we remain confident in this persistent order weakness is macro-driven, not permanent and that our competitive positioning remains strong. Turning to MTS on Slide 8. Revenue of $222 million decreased 2% year-over-year, largely due to unfavorable foreign exchange. Adjusted EBITDA of $32 million decreased 4% and adjusted EBITDA margin of 14.5% was down 40 basis points due to cost inflation, partially offset by productivity. Pricing remained challenged, as we've discussed in previous quarters, but was relatively stable and in line with expectations. Backlog of $55 million now excludes the Milacron injection molding and extrusion business. Orders for our hot runner, mold base components and aftermarket parts and services were stable in the quarter and generally in line with expectations. The short-cycle nature of this business can recover quickly and in a high flow-through to the bottom line. But given the ongoing macro challenges, we're not assuming a broad-based recovery in the near-term. Now turning to Slide 9. Net debt at the end of the second quarter was $1.46 billion and net debt to pro forma adjusted EBITDA ratio was 3.4 times, inclusive of approximately $265 million in cash proceeds from the majority sale at Milacron, which was slightly above our initial estimate of $250 million. Additionally, as announced in our earnings press release yesterday, in conjunction with our joint venture partner, we have entered into a definitive agreement to sell the TerraSource Global business for $245 million, with expected net proceeds to Hillenbrand of approximately $100 million. The net proceeds will be used to pay down debt with a favorable impact to our net leverage of roughly 0.2 times. We expect the transaction to close late in our fiscal third quarter or early fiscal fourth quarter 2025. We are pleased with the [indiscernible] investment and the additional deleveraging benefit it provides. However, given the current environment, including the additional cost of tariffs, our deleverage path remains challenged. We currently expect our pro forma net leverage ratio to remain relatively consistent with the Q2 exit over the near-term or until market conditions improve. Now turning to Slide 10. I'll cover our updated guidance. As we discussed during this call, the uncertain and unpredictable environment has prompted us to adjust our expectations for the remainder of the year. We now anticipate further demand pressure in the market and that order levels will not improve over the first half of the year with a possibility they could decline further. We expect customers to continue postponing their decisions until there's greater clarity around tariff policies and their broader economic impact. Our updated outlook now assumes total revenue of approximately $2.56 billion to $2.62 billion, down significantly from our previous guidance due to the impact of lower orders in the second quarter and the expectation for a soft order environment in the second half. Adjusted EBITDA is now $363 million to $395 million, reflecting the flow-through impact of lower revenue and the impact of direct tariffs, partially offset by tariff mitigation actions and cost controls. Our outlook for adjusted earnings per share is now $2.10 to $2.45. Our updated full-year operating cash flow is expected to be approximately $120 million with $40 million of expected CapEx as we prioritize the deferred spend over the near-term. This outlook includes approximately $15 million of EBITDA impact from direct tariffs. As Kim mentioned, these assumptions are based on tariff policy in place as of April 29th. Finally, for Q3, we expect revenue of $569 million to $583 million and adjusted earnings per share in the range of $0.46 to $0.53, lower sequentially, primarily due to the impact of the Milacron transaction and the expected impact of tariffs. Please review Slides 10 and 11 for additional guidance assumptions. With that I'll turn the call back over to Kim.
Kimberly Ryan: Thanks, Bob. Before we open up the line for Q&A, I'll end our prepared remarks with a few closing comments. I want to reiterate our commitment to navigating these challenging times with discipline and strategic focus. The steps we've taken to transform the portfolio, including the footprint and operating structure, have been crucial to successfully managing these changing dynamics with speed and coordination across the enterprise. While the current macroeconomic conditions present near-term headwinds, we remain confident in the underlying strength of our business, our brands and most importantly, our people, as well as the long-term growth potential for our end markets once macro conditions stabilize. As we move forward, we will continue to monitor the evolving landscape closely and adapt our strategies as needed. I'm proud of the team's dedication and resiliency and believe the work we are doing today will further strengthen the foundation we've been building for long-term success for Hillenbrand and for our shareholders. With that, operator, please open the line for questions.
Operator: Certainly. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question is coming from Matt Summerville from D.A. Davidson. Your line is now live.
Matt Summerville: Thanks. Couple of questions. First, just to give a little more granularity on the order trend, can you maybe describe the order cadence you saw in the business as the quarter unfolded and what you've seen thus far into April? And specifically on APS, if you could give a little additional color around the food, health, nutrition side versus large plastics versus engineered plastics. And then I have a follow-up. Thank you.
Robert VanHimbergen: Sure. Hey, Matt. Good morning and thanks for the question. So as we work through the quarter, we were feeling pretty bullish about where we were through February. And then obviously, with Liberation Day, obviously, the world changed quite a bit. But specifically to order trends, orders were hanging in there through February. And then unfortunately, we had some larger orders that were subject to tariff consideration, particularly within food, health and nutrition and particularly with between Canada and the US. And some of those contracts were at the final stages of completion that unfortunately got put on hold. Now those contracts that I'm speaking to are not lost. But certainly there's a revaluation from our customer based on what that looks like. And then on the poly side of APS, I would say same thing. Orders were generally hanging in there through February, but the macro uncertainty of what the tariff impacts would be caused customers to put really a pause on that as well. We are seeing, subsequent to March close, we're seeing some in country, for country orders to be in place, particularly in China. Nothing significant yet. But we're starting to see some of those things come to fruition. And then on the MTS side, I would highlight, China is obviously a major component for our business, particularly with multinationals. And so we are seeing a pause, a hard pause on orders for that hot runner business in China with the likely move of those orders going to India and other southeastern countries. And specifically to India, more recently, although we haven't won any orders yet, we are seeing an increase in quote activity, particularly from customers that would have placed those orders in China.
Kimberly Ryan: Yes. And that said despite the situation that Bob referenced on the food, health and nutrition, some of the pushouts that we saw, we also, as we did comment in the prepared remarks, we do see a year-over-year increase in FPM as they continue to -- and our food, health and nutrition groups as they continue to work together to offer a fuller solution of products and capabilities into the market. We did continue to see growth again this quarter. So I think that the strategy of what we're trying to take into the market, the portfolio and the collaborative efforts across both the engineering and sales teams is we are seeing the evidence of that in the commercial performance in that business as well just to clarify.
Matt Summerville: Appreciate that. And then as a follow-up maybe could you talk a little bit about where you're at with synergies with respect to some of the things you've done from an acquisitive standpoint, specifically the FHN related businesses, how you're tracking to that longer-term target you've established? And then, are there any other assets you would consider monetizing at this point post the agreement on TerraSource that you referenced? Thank you.
Kimberly Ryan: Right. Relative to the integration piece, I will talk to some of the strategic and action based orientation that Bob is going to hit the numbers and we're going to reaffirm what we said last quarter that we are on track with that to achieve our synergies well ahead of schedule. Relative to the changes that have come across that group for integration, it's everything from putting all of our global functions in place, putting our global supply management in place, putting the service, treating service as a separate business with separate leadership and process around it. The operating model has gone into place with leadership and the layers below leadership, the combining of the sales and commercial activities. All of those activities have moved at a very escalated pace, including some site consolidation that we have that two of which we've completed over the last, I'll call it, 12 months. So I feel really encouraged with how quickly especially how quickly the FPM team has come onboard in terms of being able to adapt into the way we run our businesses and to be able to get those many, many integration initiatives completed. So we feel very excited about how quickly that team has come on board and how quickly they're integrating them with the Linxis companies that we also purchased. So I'm going to let Bob hit the other be more specific on some of the synergy topics et cetera.
Robert VanHimbergen: Yes. So actually, Matt, on your second question, I think Kim has covered the synergy topic. But on your second question with other assets in the portfolio, listen, we continue to look at all of our businesses and assets to see if we're the right owner or not. And you saw us make the decision to sell the Milacron business. You did see TerraSource's, as you've highlighted here. And so I would tell you, we continue to evaluate, again, are we the right owners or not. We'll continue to make the right decisions for the business as well as the businesses that we're looking at as well as those assets.
Matt Summerville: Got it. Thank you, guys.
Kimberly Ryan: Thanks, Matt.
Operator: Thank you. Next question today is coming from John Franzreb from Sidoti & Company. Your line is now live.
John Franzreb: Good morning, everybody, and thanks for taking the questions. I'd like to go back to the four levers that you kind of targeted to offset the tariffs. Can you talk about which one you expect to make the most immediate impact? And maybe a little bit more about the surcharges you plan and put in place and how targeted are they?
Robert VanHimbergen: Yes. So I would say that the one that's going to have the largest impact near-term is going to be really looking at our dual sourcing, John. On the surcharge pricing, there is some targeted pricing in certain aspects of both the APS business and MTS. I think we'll see stronger pricing power within the APS business. The MTS business I'd remind you that we've seen pricing pressure for the last several years. With that being said, we have created a pricing desk that sits up top, that analyzes the market, where that is, as well as our cost and our pricing, including what our competitors are doing. And so I am comfortable that as that process continues to evolve, we are going to get the right pricing in place. But near-term, it's going to be more our procurement team that's doing a fantastic job providing Kim and myself literally daily updates with where we are on cost and the opportunities. We are looking at this as a total cost of ownership. So are we better off under a make versus buy scenario? We're looking at alternate suppliers while also understanding what the tax impact would be. But we've been working on dual sourcing for a while ever since COVID. There's just a couple more variables today than what we had 90 days ago. But I'd say those are probably the two that I'd highlight right now, John.
John Franzreb: Makes sense. And Bob, of that $15 million, is anything built in from those levers into that number or is that just an absolute number without any successes, say, in surcharges?
Robert VanHimbergen: So there's a little bit that's in this year that's included in that number but never say never. I would like to think that's the high end of our exposure. And again with the daily activities and dedicated resources that we have focused on this across government affairs, finance and our procurement team, I think there's going to be opportunity to mitigate that as quickly as possible. But I'd tell you, some of these things will be quick and some might take a couple of months to implement. So I feel better about as we think about what this impact will be in 2026, with maybe some upside in 2025.
John Franzreb: Okay. Thanks for the clarity. And one last question. Can you just walk us through the TerraSource divestiture, the timing of the cash and what went on there?
Robert VanHimbergen: Sure. Yes. So TerraSource was an acquisition that we made back in 2010 as part of the K-Tron acquisition. And in October of 2021, we essentially sold 51% of this for really just a note receivable from about $26 million. Now that note did have interest being accrued. And so as we close this transaction, that note will be approximately $34 million, okay? So the sales price of $245 million, that business will pay down debt, that will include our $34 million as well as some other third-party loans. And then we'll pick up about 46% of the net proceeds. And in total, that will be about $34 million from the note and about $65 million from the net proceeds after paying down debt. And so we'll get about $100 million. Right now, we're targeting that to be at the end of Q3 or early Q4. And as I mentioned in our prepared remarks, that will all go to paying down debt.
John Franzreb: Got it. Thanks for the clarity, Bob. I'll get back into queue.
Kimberly Ryan: Thanks, John.
Operator: Thank you. [Operator Instructions] Our next question today is coming from Jeff Hammond from KeyBanc Capital Markets. Your line is now live.
Jeffrey Hammond: Hey, good morning, everyone.
Robert VanHimbergen: Good morning.
Kimberly Ryan: Good morning, Jeff.
Jeffrey Hammond: So I just want to come back to the surcharge pricing dynamic. It seems like most of my other companies that have been reporting are talking about significant price actions and you guys seem to be a little more targeted. So I'm just wondering, maybe why not lean in more on price and surcharges? And just maybe for background, talk through the inflationary pressures you saw during COVID and supply chain and how you were able to push price? And why that might be more difficult or different today?
Kimberly Ryan: A couple of things, Jeff. Good morning. Thanks for the question. So during COVID, our supply chain was -- did have a lot more exposure to specifically China, which created challenges for us as well as many other companies, as you know, from stoppage of supply, inability to get goods transported logistically out of the country, pending shutdowns to lower supply of ships et cetera. So we, during COVID and post-COVID, have very much focused on an in region, for region type of approach for as much of our supply base as we could economically put in each region. So we -- I think you've heard us say before, we like to approach this in region, for region. We make where we sell, and we buy where we make. And so in large part, we have mitigated a lot of the exposure that we saw during COVID. I think the difference between COVID and the period that we've just gone through is the demand situation. During COVID, for our business, I know not for every business, but for our business, you saw an extremely escalated demand. And so you had a lot more during that time of very high demand and very high backlogs, everyone had a lot more pricing capability. Now as we have said, the APS business has significantly better pricing capability in the business, especially because those contracts happen over the long-term, you can write the contracts such that we work with our customers to determine when these contracts aren't going to execute for a year or two years, you don't know exactly what the tariff situation is going to look like at the time you're required to deliver the products. And so really more of that business is focused on making sure that you have the right language, so that everybody recognizes how those costs are going to be covered if they are in place when the product delivers T plus 12 or 24 months from now. That business has -- as we have discussed in many previous quarterly calls that business has the ability to be very transparent about those costs, whether it's logistics or tariffs or whatever the case may be and have that all transparently documented and carry through in the contracting because of the way we quote in that. When you've got a quick turn business like we do in the MTS business, your ability, especially with lower demand as we have seen on the MTS side of the house, with lower demand, a lot of capacity out there and everybody fighting for volume, you see a lot of pricing pressure in this space. Hopefully, that helps clarify the situation on kind of that tale of two cities a bit.
Jeffrey Hammond: Okay. That's helpful. So just to be clear on the $15 million, you're kind of building in your guide that that's kind of fully unmitigated and maybe you can move some stuff around. But if we look a year out and that's the number on a half year, $30 million annualized. If you look at year out, what do you think you can do in terms of getting that number down or offsetting it with other actions, whether it be price or otherwise?
Robert VanHimbergen: Yes. I think a year from now, Jeff, I'm not sure I can commit to all of it, but based on the things we see, I would expect most of it to be mitigated. The $30 million number, by the way, it's probably a bit on the high end because we are seasonally stronger in the second half. So that 15% is probably in the mid-20s as you think about an annualized number. But again, some of these actions going in place are already in the works. And so I think 2026, we'll be able to mitigate most of that.
Jeffrey Hammond: Okay. Thank you.
Operator: Thank you. Next question is coming from Daniel Moore from CJS Securities. Your line is now live.
Dan Moore: Thank you. Good morning, Kim. Good morning, Bob.
Robert VanHimbergen: Good morning, Dan.
Kimberly Ryan: Good morning, Dan.
Dan Moore: You touched on it, Kim, I think, but maybe just an update on parts and service business. Are they holding up as you would expect, given the obviously incremental challenging macro environment?
Robert VanHimbergen: Yes. I can take that one, Dan. So in the quarter, aftermarket revenue was down low-single-digits, but sequentially up high-single-digits. Now when you double-click on that, I'd say one of the downturns we're seeing is just with lower original equipment and large equipment orders being placed. We generally sell a spare parts package along with that. And so we're seeing a bit of delay on that front. But on the flip side, the true break fix of aftermarket is doing well and so we continue to focus our team on some of that break fix and being proactive with customers to continue to grow that business.
Dan Moore: That's helpful, Bob. Correct me if I'm wrong on the numbers, but at the midpoint, your EBITDA guide is lower by about $50 million, but your OCF guide lower by about $80 million relative to initial expectations. How much of the delta is lower upfront payments for large projects? How much is kind of inflationary pressures on COGS? Just help us kind of think about that.
Robert VanHimbergen: Yes. So you're right on the EBITDA. Our free cash flow, we brought down from $105 million in Q1 to $80 million now, Dan. And that's about earnings of about $25 million as well as some additional small restructuring payments associated with some of the APS activities we're doing. And that's partially offset by CapEx, just reducing CapEx as we monitor where we are on the macro uncertainty in the environment. But outside of that, it's going to be continued focus on trade working capital. We continue to make good progress on that front each quarter.
Dan Moore: All right. I appreciate that. I'll check that. Just looking specifically at kind of legacy Coperion businesses and I'm thinking large plastics, engineered plastics, when do we need to see orders start to pick up in order to be flat or potentially generate some positive revenue growth in fiscal '26? It's just given the nature of kind of longer-term nature of some of those projects, when do we need to see things turn to start kind of thinking about inflecting positively from a revenue perspective?
Robert VanHimbergen: Yes. So as you forecast, as we forecast what 2026 will look like, it's going to be under a significant amount of pressure for that to be, for '26 to be higher than 2025. We really need to see orders coming in the last, I'd say, in the last month and into Q3. And so as I sit here today, we're expecting to end the year with lower backlog in that poly business. And it's unfortunate because again we were doing well through February. The pipeline still remains strong, testing facilities are 100% full. But I would expect that orders are going to be continued under pressure here for another couple of months until hopefully the tariff uncertainty is a little bit more clear.
Dan Moore: Understood. Makes perfect sense. And just lastly maybe it's -- maybe you already touched on it, but your revised guidance, just it implies, what does it imply from a macro perspective? Obviously I think you're prudently not anticipating or expecting a pickup in orders. Are we thinking kind of mild recession, more meaningful falloff or just sort of status quo with where we sit today for the next several months? Thanks again for the color.
Robert VanHimbergen: Yes. As we said here today, we're assuming that orders declined from where they were in 2024. So I guess I'd probably put that in the mild recession case, Dan. As you think about the guide we gave when we entered the year, we were -- if you think about CapEx for instance, we were cautious on some of the investments that we were projecting knowing that if the market turned around a little bit quicker, we'd be in investment mode. So we kind of entered the year thinking maybe a recession. And as we see today, it's a little bit, I'd say, more in that camp. So we're going to continue with the fundamentals we've been working on, on discretionary costs, prioritizing CapEx and focusing on trade working capital and those things that are our control. But we're being, I'd say, pretty cautious as far as where we're spending our dollars right now.
Dan Moore: Understood. Thank you.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over to Kim for any further or closing comments.
Kimberly Ryan: Thanks again for joining us everyone on our second quarter call. We appreciate your ownership and interest in Hillenbrand and look forward to talking with you again this summer when we will cover our third quarter results. Thank you and have a great rest of your day.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.